Operator: Good morning, and welcome to the first quarter 2010 results conference call. At this time, all participants are in a listen-only mode. After the presentation, the company will conduct a question-and-answer session. Today's conference is also being recorded. If you have any objections, you may disconnect at this time. Before the conference call begins, please remember that the company will be discussing some issues that are historical and some issues that are forward looking. When the company speaks about future results or events, there are a variety of factors that may materially change the actual results from those projected. A list of relevant factors may be found in the earnings press release as well as in the company's 2009 10-K filed with the SEC on March 15, 2010. The company undertakes no obligation to update any forward-looking statements, whether as a result of new information, future events or otherwise. Additionally, the company may discuss EBITDA. EBITDA is a not a measure of performance under Generally Accepted Accounting Principles, and is considered a non-GAAP financial measure as defined by the SEC. The company may present EBITDA because management believes that EBITDA could be useful to investors as an indication of their ability to incur and service debt, and because EBITDA is a measure used under their credit facilities to determine whether they may incur additional debt under such facilities. For reconciliation from income before income tax to EBITDA, please refer to the company's current report on Form 8-K furnished to the SEC on May 03, 2009. Now, the meeting will be turned over to Mr Edward F Crawford, Chairman and Chief Executive Officer. Gentleman, you may begin.
Edward Crawford: Welcome ladies and gentlemen to the Park-Ohio’s first quarter 2010 review of operations. Let us begin today by introducing Matthew Crawford the COO and President of the company. Matthew?
Matthew Crawford: Great, thank you very much. We are pleased with our first quarter performance, which not only exceeded our internal expectations, but also demonstrated improving trends in our businesses. Sales increased almost 6% versus last year to $192 million, which is the highest quarterly revenue number since 2008. EBITDA, as defined in the release, reached over $13 million, an improvement of 69% while earnings per share increased from $0.02 last year during the first quarter to $0.18 this quarter. We also continued to reduce long-term debt by decreasing our net debt position during the quarter by an additional almost $10 million. Looking at the business units, first Supply Technologies, Supply Technologies enjoyed an improving demand environment as sales increased by just under 14%, end markets which showed particular improvement including consumer electronics, semiconductor, automotive, agriculture and construction equipment as well as other industrial equipment. New business opportunities also continue to be very robust. The profitability trended meaningfully up from last year’s performance of near breakeven so an EBIT of $4.5 million and a margin of 4.8%. Our results benefitted from the significant strategic restructuring accomplished last year, which rationalized underperforming customers, and permanently reduced our operating footprint by over 275,000 square feet. We will continue to enjoy substantial operating leverage due to these changes as the demand trends improve. Aluminum Products also continued to enjoy a rebounding auto supply market as most industry analysts continue to increase 2010 OEM production expectations. Revenue increased 39% versus last year as we expect the second quarter to enjoy similar revenue strength augmented by new business efforts. Profitability at the Aluminum Products segment actually transitioned from a 2009 first quarter loss to a positive EBIT performance of over $1.9 million. As discussed on several prior conference calls, General Aluminum has significant operating leverage in place with utilization still at approximately 50%, OEM build strengthening modestly, and it improved competitive landscape, we are guardedly optimistic. Manufactured Products revenue was down 20% during the quarter versus what was a very strong first quarter of 2009, having said that there are signs of improvement. Specifically, our industrial equipment group is seeing improving trends in new orders for global major equipment. In fact, April bookings exceeded all of last year’s second quarter. The aftermarket is improving as well with particular strength in the oil and gas end markets. This demand combined with a strong quoting activity and customer interest in accelerating the delivery of their products make us optimistic for continued improvement. Profitability also fell from last year’s EBIT level by 36% to about $5 million due to the revenue softness. Somewhat more indicative of the current environment though is the sequential profitability increase from the fourth quarter of 2009 by 66%. Despite some headwinds in the locomotive supply portion of forged and machined products, we expect this trend of improved results to continue. Looking at the balance sheet, as we previously discussed, we are pleased to announce that we caused our net debt to come down by almost $10 million particularly in light of the growth in our topline, and the almost $4 million in cash expenses caused by the refinancing of the line of credit. Increased profitability combined with CapEx discipline and ongoing opportunity to support the business with lower inventories helped to accomplish this important goal. Liquidity under our recently signed three plus year bank agreement stated around $36 million. CapEx for the quarter was under $500,000. In closing, the first quarter gave us our first glimpse of improved business performance across all business segments. This improved demand environment is especially welcoming as our team continues to work hard to keep fixed costs to continue to come down. Our goal during the downturn was to emerge a better business and we believe the first quarter was the right initial step in backing that statement up. Thank you.
Edward Crawford: Thanks Matt. I think we are off to a good start in the first quarter here in 2010. I am reminded of the fact that historically the earnings of EBITDA of the company is back-end loaded, it gets stronger as we move into the year and the $13 million is again a great start, but is the hint that it is not an indication for the results for 2010. I will be glad to open up the lines for questions. Thank you.
Operator: (Operator instructions) Your first question comes from the line of Richard Paget.
Richard Paget – Morgan Joseph & Co Inc: Good morning guys.
Edward Crawford: Good morning Richard, how are you today?
Matthew Crawford: Hi Richard.
Richard Paget – Morgan Joseph & Co Inc: I am doing well. So just kind of looking at your guys’ tone in pointing up some of the areas of strength and just looking at the results, are you fairly optimistic that we have hit the bottom, and we are following recovery mode here, and if not, what are still the question marks out there that you guys are keeping an eye on?
Edward Crawford: Richard, I do not like the concept of the bottom, but clearly we feel we are in the ascent here, we are going in the right direction. There is nothing that we are seeing in the forward look that would change our view relative to a continually improving company throughout the year.
Richard Paget – Morgan Joseph & Co Inc: So does that suggest going forward maybe then your CapEx spend will incrementally start increasing again?
Matthew Crawford: Richard, hi it is Matt, how are you?
Richard Paget – Morgan Joseph & Co Inc: Good.
Matthew Crawford: Not necessarily, I think there is an expectation that there could be additional modest investment, we have had this thing tightened down pretty aggressively over the last year to 18 months. Having said that, the areas of our business, which historically caused the most CapEx, most notably the Aluminum Products of the business is working at about, as I mentioned in my comments, at about 50% current utilization. So, while I think there could be some project specific opportunities, in general, I think that we are in pretty good shape relative to not seeing any significant blocks come through our balance sheet P&L.
Edward Crawford: Richard, the total CapEx in the company in the first quarter was $200,000. And so going forward, we obviously cannot hold them to that level, but again, as Matt pointed out, go back just to the last four or five years when we were spending an average of $20 million a year, it was a year it was largely all being invested in the aluminum platform and creating the capacity necessary to hopefully build demand that we think can develop over the next year, a year and a half. So, without making further deep investments over the aluminum business, Supply Tech is not a company that takes in a lot of CapEx. Capital equipment of the business is historically related to certain new and bigger projects. So, I think from the CapEx viewpoint, we are still in a very solid position and expect to do what we did last year or better.
Richard Paget – Morgan Joseph & Co Inc: Okay and then just expanding on the aluminum business, two quarters in a row of profitability, highest margin since I think mid 2006, I mean, what do you think the expectations for this business are? If I go back, it looks like you had north of 10% operating margins in 2003; I guess in 1999 it was high single digits. With the way your business is structured now there and the way the competitive environment has shaken out, where do you see – what is the potential for this business at this point?
Edward Crawford: The potential is clearly the revenue could increase. We are again not quite but soon to be the benefactor of fewer people in this space and increased car sales. So, as the investments have been made, we talked about over and over again, the investments made it is at least a $300 million embedded platform with our facilities. We are running at less than 50% of that particular run rate. So I think car sales continue to improve. I was in Detroit yesterday and pleased with some of the things I am hearing. I think again, we are where we hope to have been in a market where we are an established quality, low-cost producer and the amount of individuals that have exited the business is lengthy, we have talked about that, and what we have been waiting for is more car sales, and we can all be guardedly optimistic, but at least it seems to be going in that direction. So as car fields go up, this company should increase its revenue and subsequently take advantage of all the investments we have made in the past.
Matt Crawford: Richard, this is Matt, obviously the EBIT margins for the quarter were 5% or 6%, you know, with the operating leverage, there is no business that we have that has more operating leverage in it than General Aluminum. So I would have high expectations that as we create more throughput that we are going to see higher margins. So I think we are definitely directionally hoping to go north of the 5% or 6% rate currently.
Richard Paget – Morgan Joseph & Co Inc: Okay, I am just trying to get a sense of – could this be 13%, 14% business when all things are going full steam or is it still going to be high single digit, maybe 10% tops?
Matt Crawford: I do not know that I would be prepared to give a specific forecast on that front right now.
Richard Paget – Morgan Joseph & Co Inc: Okay, and then with SG&A you guys have done a pretty good job of taking costs out there. As we see the business has improved, should we start to expect some incremental variable cost to kind of come back in on an absolute basis?
Matt Crawford: I will answer that question in two ways. I think strategically, I think we continue to see our fixed cost particular they relate to really personnel cost and so forth continue to stay pretty ratcheted down. We believe today, from a fixed cost perspective, we can run the business even better than we are today. So from a strategic perspective, I would say there is not pent up demand as it relates to the current business levels. So I do not think there is another chute or drop there. Now, from a tactical perspective, we have had people throughout the business who have been on short work weeks, have taken salary cuts, we are looking to get those people back to some sum worth of their former compensation as the business environment improves. So I think there would be some modest increases in some of those expenses, but from a strategic perspective, which I think is really what you are asking, there is no pent up SG&A demand here at the current business levels or for the foreseeable future.
Richard Paget – Morgan Joseph & Co Inc: Okay, so there is 21%, 22% maybe plus a little bit more is kind of the range and you do not think you will get in the high 20s any time soon.
Matt Crawford: We have made and the best example I gave in my comments is we have permanently changed the way we manage some of these businesses. So if you were to start some time with the management team at Supply Technologies for example, they walked away from 275,000 square feet of operating footprint permanently. They use a different business model today and implied in that square footage actual reduction includes the personnel and other SG&A that goes along with it. So, yes, I think a lot more work has been done here than just sort of bluntly forcing SG&A costs down.
Richard Paget – Morgan Joseph & Co Inc: Okay and then finally, during the quarter there was some pretty harsh weather in the Northeast, did that have any impact on your business at all that might have taken a penny or two away from earnings?
Edward Crawford: No [ph].
Richard Paget – Morgan Joseph & Co Inc: Okay, thanks, I will get back in queue.
Operator: Your next question comes from the line of Michael Levine [ph].
Michael Levine: Good morning.
Edward Crawford: Hi Michael, how are you?
Michael Levine: Good, thank you, how are you?
Edward Crawford: Very well, thank you.
Michael Levine: (inaudible) aluminum, you talked about, I think last quarter you talked about some start-ups you had coming on, do you still more business awards that are coming on and if you can comment on the progress of those, and then maybe follow up with how additional enquiry looks going forward?
Matthew Crawford: Hi Michael, this is Matt, how are you?
Michael Levine: Good.
Matthew Crawford: Yes, as I said in my comments, we expect the second quarter not only to be strengthened, not only due to what we see as stabilizing and in some pockets increasing actual demand from the OEMs but also new business. So we expect to benefit in the second quarter from those exact efforts.
Michael Levine: Okay, in your comments I was not sure if you were projecting kind of the same strength or another increment, like sequentially I think you went up 25%. Are you expecting another incremental growth or just kind of the same strong performance in the second quarter or somewhere in between?
Edward Crawford: I think the second quarter will be unusual because you have some new business coming into the on stream, so second quarter will obviously be a strong quarter because keep in mind you have to invest in advance of getting these up and running and so forth. So I think our second quarter is going to be a real strong quarter in revenue as a comparison over quarter by quarter it is going to look very interesting, and I think very exciting. I hate – maybe we will not be able to sustain net increase for the rest of the year. Okay?
Michael Levine: Okay.
Edward Crawford: It happens to be the second quarter is going to be with a lot of new things just popping into the revenue side from a standpoint of volume hopefully the EBIT will follow.
Michael Levine: Okay. So if we think about let us say the first quarter, as long as assuming autos are stable or growing a little bit, you are kind of at a run rate that you are building on with new stuff coming in, is that a fair characterization?
Matthew Crawford: Yes we are beginning to utilize our capacity.
Michael Levine: Okay, excellent.
Matthew Crawford: It sounds like we are (inaudible) we are not trying to be. We have got new business coming on stream. We are very excited, the build rates look pretty good as we sit here today. I just think that there is a lot of variables out there as it relates to what the market holds. You have got obviously summer shutdowns coming, you have got a lot of issues that we are not prepared to actually predict. Amongst the things we can control, which is our current business, and some new business efforts, we feel pretty good about it.
Michael Levine: Yes I was just kind of making sure that I was thinking about correctly, maybe being a little too deep there or something but I just want to feel comfortable that I am getting the message right.
Edward Crawford: Well, I will tell you something, I am glad you are digging at this and we have been disappointed in aluminum’s performance for some period of time here. Okay? I am not the first to speak to that issue, so the caution is in your words I totally respect, but I think that we are on the right track now, and volumes going up and again, we expect to go with it, but we are surely not – you would think that I would be standing in here really just stepping up and playing a little band here because of the first quarter here, but there has been a lot of disappointments. But I think we are on the right tract because I think the auto industry is on the right track.
Michael Levine: Then Supply Technologies, was there any industry that kind of did better that really pushed the results up or was it kind of across the board everything doing better?
Matthew Crawford: Yes Michael, I think I mentioned in my comments some of the ones that were outliers, yes, it was as always a bit of a mixed bag, some do better than others but unquestionably, the highlights in the quarter were specifically the consumer electronics and semiconductor was very strong, ag equipment and construction equipment actually. Yes, we certainly had some highlights.
Michael Levine: Was there anything unusual in the quarter, unusually good or again are we kind of you know things keep going the way they are this is sustainable kind of levels?
Matthew Crawford: I think I would ask certainly Jeff to comment here, this was fairly straightforward in terms of from a financial perspective things would have impacted the P&L.
Jeff Rutherford: The only thing though of any unusual nature in the P&L was our cash flow would have been fees associated with refinancing, but no, this is a very normal quarter for us.
Michael Levine: Okay and Manufactured Products, I know last time you said the backlog is really increasing, the inquiries increasing but I think you said that compared to the end of ’08, it is still pretty low. Could you kind of comment on how good the backlog is and how it looks compared to the end of ’08?
Matthew Crawford: Compared to the end of ’08 –
Michael Levine: I am hoping that be precise, I guess that was when it was really strong.
Matthew Crawford: Yes, I do not think, we are definitely not back to those backlogs, you know ’08 was particularly in some contacts at least in its last cycle it did seem as though the industrial equipment group acted like a late cycle business performing pretty strongly through the middle of last year feeding off those strong ’08 backlogs. I would tell you that the most important piece of information though I think that I discussed was that the drop-off in new equipment orders really started in earnest last April. So, I think the most important data point I can give you about backlog is that April bookings were stronger than last year’s entire second quarter by a good measure.
Michael Levine: Okay.
Matthew Crawford: So I guess the point is the backlog continues to build, year over year it is going to build more aggressively during the second quarter because of the weakness last year. So while I think it is a little bit unfair to compare to ’08 levels, I think that we are heading meaningfully in the right direction versus last year.
Michael Levine: And just about how long before these new bookings start to flow through?
Matthew Crawford: I think that – we typically say that it is six to nine months, so I think that we are seeing – that is a good timeframe to sort of think about so that weakness in last year in the second quarter kind of flowed through end of third quarter, fourth quarter a little bit in the beginning of the year. I think we are fighting our way through that and I think we are starting to come up the other end. I think the other anecdotal discussion that I mentioned that I think is important is certain customers last year purchased equipment, we built it for them and they had assets and not delivered the equipment because they had no use for it. And I think what is happening Michael which is interesting is throughout the first quarter our customers who we have equipment for have the assets to accelerate those deliveries finish that equipment our aftermarket business, which was very slow last year, which is usually counter-cyclical has picked up. So not only do I think we have got the specific evidence of some backlog building on the new equipment side but we have got great anecdotal evidence going on in the marketplace right now.
Edward Crawford: Mick, thank you very much for the questions.
Michael Levine: Thank you, I am done.
Operator: Your next question comes from the line of Matt (inaudible).
Edward Crawford: Hi Matt, how are you doing?
Young: Good morning guys, this is actually Young [ph] calling in for Matt. Just a couple of questions here on your cash flow performance which looked pretty strong in the quarter, could you just tell us specifically what cash from operations were this quarter?
Edward Crawford: On a GAAP basis, cash from operations?
Young: Yes.
Edward Crawford: It was just under $14 million.
Young: Okay, certainly that implies some pretty strong cash flow generation here in the quarter. So would you say it would seem like if you kind of do the math here that there was some pretty good cash generation from working capital this quarter, is that fair?
Edward Crawford: Obviously because of increased sales accounts receivable were up and it consumed a little over $15 million. But the inventories were favorable and accounts payable were favorable offsetting that, preceding that to get us to that $14 million number.
Young: Got you and then just kind of on a go-forward basis here with a pretty positive outlook from you guys thinking about working capital for the rest of the year, just from a high level, how should we be thinking about that, is that going to be more of a use to kind of help facilitate some of the growth you are seeing here in the business going forward for the balance of the year?
Edward Crawford: Obviously as shelf volumes continue to increase, we are going to see a consumption of cash in the accounts receivable. The level is going to be dictated by the level of the volume sale. That is going to be billed back, so what we have to do and what are our operating company, our CFOs have done a very good job in the first quarter and we will continue to do a good job is to control the inventory and payable side to that equation. We understand that we are going to be consuming cash on receivables. We have to be very circumspect about building the inventory on that side, and what we saw in the first quarter was we have built the receivable side, we consumed inventory during cash and at the same time we were able to build accounts payable leverage. That is what we need to happen for the rest of the year. What we anticipated for the year and we are a little ahead of ourselves right now is that we would see the use of cash from receivables, but we anticipated a decline in inventory and re-leveraging of accounts payable, which is exactly what we saw in the first quarter. So I think we talked about the end of the year, we anticipated a reduction of inventory this year for fiscal 2010, an improvement in accounts payable leverage as we consumed that cash being generated by accounts receivable.
Young: Understood.
Edward Crawford: The breakeven process on our working capital this year would be a very good thing because we know volumes are going to be increased.
Young: Sure And then just one other question from me, looking at your margins today clearly, I think you guys have demonstrated the fact that there is some pretty good operating leverage here across all three business segments. So is it kind of realistic to think about the margin performance this quarter as kind of maybe not a trough but a good starting point here going forward, assuming the topline growth as per your expectations that we will start to see some improvement as we kind of progress along for the year.
Matthew Crawford: Yes Matt, I am sorry I did not catch your first name,
Young: Young.
Edward Crawford: Young, I would say that that is a fair statement. Once again, all of our businesses do have operating leverage in it. Our highest margin business though is our Manufactured Products segment. So I think that we have particular margin opportunity as that business improves.
Young: Okay, I think that should cover for me.
Edward Crawford: Okay, we appreciate the questions.
Operator: Your next question comes from the line of Doug Ruth [ph].
Doug Ruth: Good morning, good report Eddie. Can you comment, are you standing by your earnings guidance for the year?
Edward Crawford: Yes.
Doug Ruth: Okay is there any additional commentary on that at all?
Matthew Crawford: I would only comment, Doug it is Matt, that we typically have not preferred to amend our guidance after the end of the first quarter. It is just too early. We only give annual guidance and we are going to stand by it until we have a better sense of how the year looks.
Doug Ruth: Eddie, do you have any additional thoughts on what you are seeing in the automotive and what you think the run rate might be?
Edward Crawford: What is interesting amount Doug, do not think of it in terms of run rate, I think in terms of how many cars we sell, I mean down that run rate idea if they are making cars and then putting them on a parking lot that really does not help us, it just takes away from the sales of the future. I do not have all the historical data but it seems like the inventories are at a controllable point and our production is going and there is – again I was in Detroit yesterday, there seems to be a new balance in everyone’s step up there right on all the companies including Chrysler. So it seems that we have really got kind of an optimistic feeling and again I think that is from not only from the car production but from the fact that the fact that things have – these companies have narrowed their platforms particularly Chrysler into fewer and fewer cars and I think they would be the weakest financially but they seem pretty optimistic about their survival and where they are going. I was with some top people yesterday, but again we measure things here by the cars that are selling and it is picking up and it is springing and maybe that is working, but maybe people are gaining the confidence, boy I will tell you something, if you could really believe that is 12 million plus this year, which is all indications that it is. You moved up from 12 to 14, forget about the old numbers of 17 and it is pretty good indication and a particularly good indication for our company because the one that has hurt us a little the last couple of years has been the aluminum business and it is about time it comes home and really starts to pay dividend we all expected, but it is all about car sales.
Doug Ruth: Okay and what about the bids that have been out there that you have had out there for a while, are some of those things going firm now or –
Edward Crawford: In the aluminum business?
Doug Ruth: Yes.
Edward Crawford: We had a meeting this morning. We have never seen more activity in the aluminum business and importing [ph] process in the aluminum business that is out there. There is a tremendous amount of business, new business to be had, the question is at the level of pricing we are going to be, we are not going to use our embedded capacity that we have already paid for, and the company is paid for without the margins. So I think when you see the strength of the margins in the aluminum business it is going to be reflective of we do not have to have a bigger company, we really run this business now for cash flow and for return but we are optimistic. There is one block of business that is cycling out that we know that it will be out of there, it is a big piece of block in the business will be out of there in two years and we are quite confident that we are going to be able not only to replace that with new business but we are positioned ourselves again as a poly producer, we are very competitive, we have got a lot of unused capacity, we are going to use it carefully, but I think I indicated last year, this is going to be a very important part of the story of this company in 2010, 2011, and 2012.
Doug Ruth: Would you expect sequential improvement in the utilization rate of the aluminum throughout the rest of the year now?
Edward Crawford: Yes, I think we will particularly as we bring in new business or begin to see new business in the second quarter, it is got to be under – it is going through our facilities and through our equipment that have been the most dramatically under utilized.
Doug Ruth: So could we go from 50% to 60% utilization, something like that?
Edward Crawford: Clearly we will do that by the end of the year but maybe sooner rather than later. But good news is coming, I know we are all worn out about General Aluminum but believers hopefully will bring it home this time. It looks very good.
Doug Ruth: It is a good report Eddie, and then could you talk a little bit more about the Manufactured Products and some of the bids that are out there, and Matt has mentioned a little bit that the bookings are up in the oil and gas, maybe could you give us a little additional commentary on that?
Edward Crawford: Matt, why don’t you address that?
Matthew Crawford: Sure. Yes, other than to say that – what I mentioned as it related to oil and gas was that the aftermarket business was picking up and then I noted that it picks up particularly well in the oil and gas end markets, and the aftermarket picking up is usually a good sign for the new equipment market as well. It means that our embedded equipment out there, they are running it hard and actively and they have to fix it. So that bodes well for the new equipment market. So that was really my commentary. As it related to the new equipment side of the business, clearly year over year we are seeing much better booking activity than we did towards the second quarter of last year, significantly greater. So, yes people are starting to buy new equipment again.
Doug Ruth: Thank you for answering my questions. Congratulations, it was really –.
Edward Crawford: Thank you very much for being supportive.
Doug Ruth: You are welcome Eddie.
Operator: Your next question comes from the line of Michael Corellie [ph].
Michael Corellie: Hi, good morning.
Edward Crawford: Good morning.
Michael Corellie: I just had a question related to one of your debt covenants, I think it is the fixed charge covenant which is 1.1 times, and I believe it is EBITDA minus CapEx minus taxes paid over interest expense plus debt repayment. That debt repayment line, is that any debt repayments, is that payments on the credit facility also?
Edward Crawford: It is scheduled debt repayment, so it is the amortization of the term debt.
Michael Corellie: All right, I think it is $10 million this year.
Edward Crawford: No, it will not hit that. Maybe on an annualized basis, it would be half of the fee, which is the two-year life and then it is a ten-year life, so it is about $8 million.
Michael Corellie: All right, so if you make additional debt repayments on top of that, does that go against, does that add to the denominator of that covenant.
Edward Crawford: Only if we buy back bonds.
Michael Corellie: So not if we paid down the credit facility?
Edward Crawford: Not if we paid down the credit facility or the term debt.
Michael Corellie: All right, so if you are generating cash this year, is that the plan to use that cash would be pay down term debt or the credit facility.
Edward Crawford: It depends where the cash is generated. If it is in the US and Canada, it will pay down the revolving credit facility. If it is outside of – if it is international, then we would have to make a decision.
Michael Corellie: Okay, thanks a lot.
Edward Crawford: Thank you very much.
Operator: You have a follow up question from the line of John Boehm [ph].
John Boehm: Hi guys, great report.
Edward Crawford: Thank you very much John.
John Boehm: I will be quick. Did I hear Matt say that full year cash CapEx is going to be $5 million?
Matthew Crawford: I did not specifically comment John nor give guidance. I think it was sort of implied in my comments was that we felt that the business continued to operate not dissimilarly from last year’s numbers. Obviously, first quarter of $200,000 is well below where we had been at just about any point in the history of this company. So I do not think that expectation is unreasonable.
John Boehm: And maybe to Jeff, how about cash, cash taxes either an absolute amount projected for this year are percentage?
Jeff Rutherford: You know once again our cash taxes are going to be foreign taxes and we are looking – on a conservative basis, we are probably looking around $4 million.
John Boehm: Very good. And are you experiencing any inflationary pressures either in the acquisition of aluminum input or maybe when you look at the tubular goods in copper, steel what do you feel an inflation, have you got any programs to hedge that?
Matthew Crawford: John it is Matt, I will take that. Aluminum first, let us first kind of remind everyone that aluminum is a pass-through, so we take no real raw material risk at General Aluminum. So as our single probably largest raw material input at Park-Ohio that is nice starting point. We are sort of hedged by our customer contract. So that is number one. Number two, are we are seeing some input pressure? Yes, I think we are. Certainly the steel markets particularly out of Asia have strengthened, which is not an insignificant input to our business. So we are seeing it. I do not think it is significant enough at this point to provide an impact to our forecast. Having said that too from a very strategic level, I would say increasing raw material prices, they often make our competitive position even stronger. John, I will tell you that, it is an environment of declining raw materials that often makes our business challenging, particularly when we are carrying some amount of inventory. So I think that from a pricing perspective, controllable increases over a reasonable period of time in raw material cost are a friend of this business.
John Boehm: Really good. Finally on the quoting that you have done in the Manufactured Goods section or Products section, is that still – how long will it take you to flow through the bottom line, you are still working like three to six months or longer term?
Matthew Crawford: No I think it was Michael who asked the same question and each order has its own characteristics but I think that six months is as good a number as I can give to you on a blended basis.
John Boehm: Okay, great report guys, looking forward to good things coming up, thank you.
Edward Crawford: Thank you very much.
Matthew Crawford: John I also want to comment, I will comment sort of generally because I have got this question a couple of times, first quarter bookings were strong on a relative basis to last year as well. So to the extent there was a hole in new equipment bookings, it existing really in the second quarter and third quarter of last year. Really the fourth quarter of last year and the first quarter, we have seen an uptick in new equipment bookings, not to the level we saw in ’08 but I think that – I focused too much perhaps on the degree to which second quarter bookings will exceed last year’s second quarter, but that is not to suggest that bookings in the fourth quarter and the first quarter were not somewhat better than the real soft spot, which was the second quarter and third quarter of last year. So I think that is an important point because the hole in production that caused our results to suffer the third and early fourth quarter of last year that window has passed.
John Boehm: Thank you.
Operator: At this time, there are no further questions. Presenters, do you have any closing remarks?
Edward Crawford: Yes, again thank you for the continued support from all of our stakeholders and we look forward to continuing our progress in 2010. Again, thank you very much for taking the time. Have a nice day.
Operator: This concludes today’s first quarter results conference call. You may now disconnect.